Operator: Good afternoon, ladies and gentlemen. And welcome to today’s Fiat Group’s 2012 First Quarter Results Conference Call. For information, today’s conference is being recorded. And at this time, I would like to turn the call over to your host for today Mr. Marco Auriemma, Head of Fiat Group Investor Relations. Mr. Auriemma, please go ahead, sir.
Marco Auriemma: Thank you, Sarah. Good afternoon to you all. And welcome to Fiat’s first quarter 2012 results webcasting conference call. As you know the press release was issued earlier today and is available together with the conference call chart slide on our Investor Relations website. As usual, today’s call will be hosted by the Chief Executive, Sergio Marchionne; and by Richard Palmer, the Chief Financial Officer. And after introductory remarks, we will be available to answer the question you may have. Before we begin, let me just remind you that any forward-looking statements we might be making during today’s call are subject to the risks and uncertainties mentioned in the Safe Harbor statement included in the presentation material. As always the call will be governed by this language. With that, I would like to turn the call over to Sergio Marchionne.
Sergio Marchionne: Good afternoon to most of you. I think that we have -- the title of the presentation says, I think we’ve given the circumstances in Europe we found an exceptionally strong quarter and to tell you that we are satisfied with the performance of the Group overall, I think will be a bit of a stretch, but certainly given the circumstances in Europe, I think we have delivered certainly the upper range, the upper end of our anybody’s reasonable expectation. The fact that Chrysler has had a phenomenally strong quarters undoubtedly come to help the fact that we are now, which takes me to slide three, the fact that we’re now representing performance of our mass market involvement in terms of four geographic area for the first time I guess, because of the size that is Group we can look. Across the world and really identify performance and on a geographic basis is a significant step forward. We in a -- we are presenting numbers which reflect the way in which we have organized the Fiat Chrysler world today. The four operating regions that you see are being run by four Chief Operating Officers, I happen to run the North American piece and have responsibility for the overall performance of the Group. But we’ve now got finally clear identification of performance targets and objectives by geographic area. The we -- now I’ll let Richard answer questions in terms of the comparables look like. Obviously, most of them had to be constructed because of the fact that the consolidation of the Group did not happen until – until June 1, 2011. So we have tried to provide as much compared done as we can to make the information meaningful. There is a relative performance 2011 to ‘12. Moving on to page four, we have delivered a topline of €20.2 billion a profit of nearly €900 million and net number of €379 million. We were able to maintain net debt levels of €5.8 billion which is some of I think an over performance with the NAFTA region compared to go beyond us and the performance of Europe, but purely based on what we knew was in fact going to happen as a result of the volume declines. We continue to hang to a phenomenal amount of liquidity of €21.4 billion, which includes about €3 billion of undrawn credit line. So I financially strong, financially secure and what we need if we are going to talk about anything we are going to have to talk about what happens to Europe and how we transition on to a better say it. We sold overall more than a million cars in the quarter large portion of 600,000 came out of price where the rest of it was distributed between NAFTA -- between Latin America and Europe and some cars going into APAC region. We continue to work diligently on the implementation of both WCM the world-class manufacturing initiatives. In the Chrysler environment we’ve had two plants that have now graduated to bronze level. We continue to work to go and get the other plants on the same type of reward charts but it’s having significant benefits in terms of earnings for the year end and certainly we’ll continue and will intensify as we work through the plant period until 2014. We did a couple of bond issuances in Fiat raised about a €1.200 billion worth of cash. We were able to sign unless at least the Letter of Intent with Sberbank to try and finance to provide the funding for our operations in Russia, which are in the process of now being finalized. And we’re confirming the full guidance that we laid out in at the beginning of the share notwithstanding the fact that I think the European market is even underperformed by own internal expectations back in January of 2012. So we are watching this very, very carefully. I’ll give you some color probably at the end of the story, I think Marco will probably end up for the year. On slide five there is -- making some reference to the work that’s going on in terms of the simplification of share capital structure. April 28th is the last date that the withdrawal rights can be officially exercised we have received no indication for any one or the intention to withdraw. And so we’ll be tested on the condition on May the 14, 2012 and if everything is okay then I think we can proceed with simplification of share structure. I’ll pass on the rest of the presentation to my colleague here Mr. Palmer, who is going to enlighten us with a description of the financial performance of the business and I’ll come back and then deal with the outlook.
Richard Palmer: Thank you, Mr. Marchionne, and good afternoon to everybody. Passing to page six. Group revenues came in at €20.2 billion for the quarter reflecting generally positive trading conditions across the regions with the exception of a math. Excluding Chrysler revenues were €8.7 billion, 5.7% lower than a year ago mainly reflecting volume declines in Europe, while trading conditions continued to remain weak particularly in Italy. Trading profit reached €866 million, reflecting the significant contribution from Chrysler. Within the mass market brands NAFTA trading profit was €670 million, Latin America €235 million, APAC €77 million, while EMEA was negative for €207 million. Luxury and performance brand trading profit was up 11% to €71 million while components are slightly up to €36 million. Fiat excluding Chrysler trading profit was substantially up break-even in the quarter compared to €250 million a year ago. EBIT was €899 -- €895 million for the quarter and EBIT for Fiat excluding Chrysler was €12 million, down from €291 million a year ago. Net profit was €379 million for the quarter, with Fiat excluding Chrysler reporting a loss of €273 million, compared to €37 million in Q1 ‘11. Net industrial debt at the end of March 2012 was €5.8 billion, compared to €5.5 billion at the end of December 2011 on increased capital expenditure with cash generation from Chrysler largely offsetting absorption for the remainder of the Group. CapEx totaled €1.6 billion, of which €0.6 billion related to Fiat excluding Chrysler. Total available liquidity was €21.4 billion, including approximately €3 billion of undrawn committed credit facilities, up from €20.7 billion at the end of December, due to the issuance of €1.2 billion of bonds in the quarter, which represent around 80% of Fiat’s capital market matured in 2012. For Fiat ex-Chrysler liquidity stood at €12 billion. Moving to slide seven, this deals with the Group performance according to the new segment reporting and the comparisons to a pro forma 2011 performance, which is constructed on the assumption that the Chrysler operations were consolidated from January 1, 2011 instead of January -- June 1 date that was the actual date. The mass market brands revenues and profitability reflected generally positive trading conditions as we spoke of before with the exception of EMEA. Revenues for NAFTA increased 22% versus Q1 ‘11 on a pro forma basis to €10.4 billion. For APAC they were up 43%. For EMEA they were down 13% and revenues for LAT AM remained flat. The Group posted an 81% increase in EBIT for the mass market brands in NAFTA, 1.5 times greater in APAC, which more than offset the increased losses in EMEA of approximately €100 million and reduced earnings in LATAM, which were down 23%. Moving to slide eight, the net financial expenses for the quarter were €375 million and include the positive mark-to-market of Fiat stock option related equity swaps for €38 million. With reference to Fiat ex-Chrysler the increase of financial charges versus 2011 was €28 million. Net of the impact of equity swaps the net increase was €44 million, mostly due to the higher level of net indebtedness, which is about €2 billion on average during the quarter. Income taxes were €141 million or €119 million for Fiat ex-Chrysler inline with the prior year level. Moving on to page nine, it shows the revenue and trading profit walk by segment. Revenues for the mass market brands were up nearly 9% overall to € 1.5 billion compared to the pro forma Q1 ‘11, driven by the NAFTA region. Luxury and performance brands grew €68 million or 12% year-over-year and there was a 2% increase in the components and production system segment, which contributed €40 million to the improvement of the Group revenues. Trading profit from mass market brands increased a €151 million versus last year on a pro forma basis. On the back of strong performance NAFTA offsetting effects of lower volumes in Europe also due to the car hauler strike in Italy in March. And price pressure from the imports by other car makers as vehicle stocks imported before the EP tax rate increase in Brazil on December 15th last year was sold down, as well as the launch cost of the new models in Brazil in the quarter. Luxury and performance brands improved by €9 million versus Q1 2011, while the components business was inline with prior. Moving on to page 10, we show the change in net industrial debt, compared to year end 2011, the change was negative €243 million in the quarter, increasing net industrial debt from €5.5 billion as of the end of December to just below €5.8 billion. The negative change in the debt comes from capital expenditure €1.6 billion, exceeding the €1.2 billion positive cash flow from operating activities, which was largely due to a significant €1.9 billion positive EBITDA contribution. The resulting €400 million negative cash flow from operating activities net of CapEx is partially offset by a €150 million non-cash improvement from the evaluation of derivative for hedging purposes. Working capital behavior was a type of two different markets, Chrysler generated €0.8 billion positive on the back of higher trade payables, due to increased production levels and Fiat ex-Chrysler absorbed about €1.1 billion from both payables and inventories as a result of the usual Q1 seasonality exacerbated by the long lasting Italian hauler strike and CapEx payments. As a result, consolidated working capital absorption was limited to €0.2 billion. Moving to slide 11, liquidity for the Group remains strong and March end increasing to €21.4 billion, including the proceeds from the bond issuances mentioned before and €3 billion of undrawn committed credit lines. Total liquidity for Fiat ex-Chrysler amounted to €10.1 billion inline with the levels of the end of the prior quarter where Chrysler recorded a €1 billion increase in cash. Fiat capital market in bank debt maturity those spread over the next five years and beyond, while Chrysler has a vast majority with debt maturing beyond 2016. Moving to page 12, we’ll look at the performance by segment starting with NAFTA, comparisons are made to the pro forma numbers that I mentioned before, assuming Chrysler being consolidated from January the 1st of ‘11. NAFTA in the context of a continued favorable market conditions outstrip market growth with total sales in the region up 117,000 vehicles or 33%, primarily due to a 39% increase in U.S. market sales. The revenue increase was driven by 16% higher shipments with benefits from operating leverage reflecting a 200 basis point improvement in margins to 6.5%. At the last Detroit and New York auto shows we revealed the 2013 Dodge Dart, which will be in the market from the second half of this year and the 2013 Ram light-duty truck and SRT Viper. Page 14 shows the EBIT walk for NAFTA. EBIT for Q1 ‘12 stood at €681 million almost twice last year’s level of €377 million on a pro forma basis. The major contributor to the year-over-year increase was net pricing which was positive in all markets. High volumes contributed for €86 million to the increase driven by the continued success of the product line up particularly offset by -- partially offset by unfavorable mix. Industrial efficiencies from purchasing and world-class manufacturing were partially offset by new vehicle content enhancements such as 8-speed transmission and expanded availability of the V6 Pentastar on the product range. SG&A primarily reflects non-repeat of network costs in 2011. Moving to slide 15, the Group outperformed the U.S and Canadian markets posting a growth of 39% and 12%, respectively versus prior year. In the U.S, March was the 10th consecutive month of sales gains of at least 20%, driving the market share up 200 basis points to 11.2% for the quarter. Fleet mix was flat over prior year. In Q1, the Group was the quarterly market leader for the first time in Canada, posting a 30 basis points growth and market share to 15%. Moving on to slide 16, overall market trading conditions in the LATAM region was stable year-over-year. The Group shipped 215,000 vehicles during the quarter. Higher shipments in Argentina and other LATAM markets more than offset reduced volumes in Brazil where the industry experienced some credit restrictions from the banking system which we expect to ease as the year proceeds, thanks also to the reductions in the inter-bank interest rates which have just been announced. Revenues were in line with last year’s level consistent with the volume trend, trading profit came in line -- came in line with our expectations in our full year target. The reduction in earnings was driven by price pressure in Brazil, the rising from the aggressive pricing of imports by other car makers as pre-IPI tax rate increase vehicle stocks were sold down and we had increased costs associated with the product launches of the Grand Siena and some Chrysler models. Page 17 shows the EBIT walk. The impact of negative net pricing together with increased advertising expenses during the quarter drove the EBIT down to €235 million for the quarter. Mix also came in negative principally due to lower sales volumes of the Siena due to the model change over. Industrial cap costs were flat with some depreciation on new products offset by purchasing in WCM efficiencies. Moving to slide 18, Group market share in LATAM was 40 basis points higher than a year ago and 16.2% in the growing market. Slow improved in Brazil to 22.7% supported by the strong performance of recently launched products in particular the two models that won in the last two years Canada Annual awards the New Uno and the New Palio, and we have 500 and Freemont along with the Chrysler Mini Van and the Jeep SUVs. It’s also worthy of note that even our model is the most sold car in Brazil during the quarter. Argentina the market grew 9.4% and the Group recorded a share gain of 110 basis points to 12.1%. The success of the New Uno which account to about 40% of Group volumes in A/B segment was also key for the commercial performance in this market. Moving on to page 19. APAC during the quarter consolidated average shipments improved by 8000 units to 25,000 units, including JVs retail sales were up 29% on the back of some performance by Jeep, Fiat, Alfa brands. Revenues increased 43% mainly driven by Chrysler Group brands representing more than 80% of total revenue. Trading profit was nearly doubled to €77 million benefiting primarily from volume growth and favorable net pricing partially offset by negative mix and industrial cost. EBIT was €85 million or 2.5 times last year’s levels reflecting growth in trading profit and improvement in the results from the Indian JV. On page 20, the EBIT walk for APAC show the €37 million quarter-over-quarter improvement with positive volume across all APAC countries and positive net pricing covering an increase in industrial costs due mainly to increase taxes and import duties and enhance vehicle content. Selling expenses also increased to support growth in the region. Slide 21, (inaudible) from a small base the Group outperformed the industry and APAC would sell the great driven increased presence in China, Australia and Japan in particular Group sales increased by about a third driven by twofold growth of the Jeep brand. In Australia the industry was up 5%, with the Group posting industry’s best improvement in Q1 sales on the back of the Jeep brand up around 120%. The market in Japan continued to recover it with Group sales slightly better than market driven by Jeep plus 90% Alfa and Fiat. Slide 22, deals with the EMEA region where trading conditions continued to be depressed particularly in Italy and in France. Group’s total shipments were down 60,000 units due to lower market demand in Europe 27%, with performance bearing significantly by market. The overall trend for the quarter was substantially attributable to the decline in demand in the French market minus 22% in comparisons to Q1 ‘11 we still benefited from the tail of eco-incentives underneath remain a minus 21% where sales dropped to the lowest March level since 1980. In Italy in particular adverse impacts from the economic recession and increased fuel prices were further aggravated by the effects of the car hauler strike which quotes a loss of around 20,000 units to the Group. Good performance outside Europe where shipments were up 37% with Chrysler Group products more than double 2011 levels. Revenues were down 13% due to lower shipments partially compensated for by success of the rejuvenated Jeep range and Fiat Freemont. Trading loss was about €100 million worth on a year ago up €207 million. Result from investments mainly related to FGA Capital and the JV in Turkey contributed positively by €36 million to the EBIT result. Moving to slide 23, the EBIT work for EMEA shows a tight control on SG&A cost and the benefits on purchasing WCM efficiencies were unable to offset a significant impact due to the volume declines. The Group performance in the quarter was also impacted by continued pricing pressure in the market. Market trends and dynamics in the European environment are described on slide 24. Group sales were down 20% to 216,000 units. Q1 market share was 100 basis points lower than the prior year and flat versus Q4, 2011. The negative performance is attributable to continued unfavorable country mix accounting for about 50 basis points of share loss with Italy further reducing its weight in the European market. The car hauler strike caused an additional share loss of 30 basis points. In Italy the market dropped 21% in the quarter with the Group achieving a market share of 27.9%, 140 basis points decline largely due to the truck driver strike. In terms of light commercial vehicles we can see on the slide 25, the demand is also weak. Market demand was down 9% in Q1 with only Germany posting an increase among the major markets, while the Mediterranean countries experience a steep decline. Fiat Professional brand sales were 47,000 units, 12,000 units lower than a year ago with a decline mainly attributable to 36.4% drop in Italian market. A 10 basis point share gain in Europe excluding Italy was unable to counter the share decrease in the domestic market year-over-year where significant fleet contracts were signed last year. The new Strada the next most popular Fiat Professional model worldwide after Ducato in 2011 was launched in the quarter thus further strengthening the most up-to-date and complete product offering of any European LCV producer. Moving from the mass market brands to the worldwide operating segments, let’s now go to slide 26, which deals with the luxury and performance brands Ferrari and Maserati. Ferrari revenues were up 13% to €556 million. During the quarter 1700 vehicles were shipped up 11.5% over last year, driven primarily by 74% increase of 12-cylinder models on the back of the strongly performing new FF. Shipments for the 8-cylinder models were in line with prior year. North America remains Ferrari’s number one market with a 14% increase year-over-year. Europe recorded a 16% increase thanks to strong performance in all markets with the exception of Italy. Of the remaining markets, China was up 3% and the Middle East was up 23%. Trading profit and EBIT saw the €60 million, up 13% over prior year, thanks to higher sales volumes and a good result from the personalization program. Trading margin was 10.8% flat versus prior year. For the same period Maserati’s topline increased 13% to €153 million, with shipments up 6% to 1560 units. The decline in Europe was more than offset by the incremental volume in other countries in particular the U.S., China and Japan. Trading profit and EBIT were up about 33% to €12 million on the back of higher volumes and industrial efficiencies. Trading margin was 7.8%, 110 basis points higher than a year ago. Slide 27 deals with the Components and Production Systems segment. Magneti Marelli businesses reflected the general trends in their respective markets in the quarter. Topline was €1.5 billion, a 2.4% decline over the same period in 2011, despite 14% growth for lighting and an increase for electronic systems. Trading profit totaled €29 million compared to €34 million a year ago. Total new orders saw the €371 million mainly related to lighting and Powertrain. Teksid revenues were €223 million with the drop primarily driven by decline in the aluminum business, as well as lot of volumes in Europe and the Americas for cast iron. Trading profit was flat versus Q1, ‘11. Comau posted an increase in revenues 29% with trading profit increasing to €4 million. Improvements were mainly driven by the Powertrain system operations. Total order backlog for Comau stood at €950 million, 13% better than the year in 2011. Moving on to page 29, we can look at the overview of the markets for the full year. NAFTA clearly has had a -- had a good start for the first quarter 2012. Our guidance for the market for the full year was 13.8 million vehicles for the U.S. and we still stand by that number although clearly there could be upside to that. Canada around 1.6 million vehicles for the year. Latin America, we expect to have an improvement in consumer confidence through the rest of the year driven by stimulation of the economy and the interest rate reductions. The EP tax that was introduced on 15th December should have a bigger impact on pricing from Q2 onwards. And therefore we expect LATAM market forecast to be inline with a prior forecast we gave. APAC is regionally very strong, demand is expected up 10%. Group sales continue to improve through the year. And we’re focusing very strongly and on implementing a new organization structure to execute very efficiently in this marketplace since particularly in China and India with existing JVs. EMEA, the adverse impacts from the recession continue to make visibility of the market progression very difficult and we expect Italy to post the lowest market level since 1983 for the year. Moving on to page 30, see the Group shipments of 1,019,000 units split by region with NAFTA at 519,000 units up 15.8%, EMEA at 260,000 units down 19%, LATAM slightly up at 215,000 and APAC up 47% or 25,000 units. The 1,019,000 unit shipments is in line with our full year guidance of 4.1 million to 4.4 million units. Page 31 shows the nameplate impact branding back driving the increased shipments in the NAFTA region. As you can see all brands are contributing to the growth particularly Jeep continues to show very positive returns compared to last year but also Chrysler, Dodge, and Ram are showing a significant increases. Fiat with the new marketing campaign is also showing much higher volumes than it was in the second half of last year. Page 32 shows the product lineup. In LATAM, as I said before we are launching the Grand Siena in this quarter at the end of March which has been very well received by the market. And we expect that to have a full impact in end of Q2, beginning of Q3, the Novo Palio is performing very well and the Novo Uno was the most sold car in Brazil in the first quarter with 59,000 units sold. Page 33 regarding APAC, well we gave a world premier of the new Viaggio model at Beijing last week -- this week actually. We consider to be a benchmark for the mid-class segment in the Chinese market. And we will be launching this through our JV with GAC in the coming months. On the other side, we also are launching the Chrysler 300 into the Asia-Pacific market as we established the Chrysler brand in China. Page 34 regarding EMEA focus on Fiat, clearly we have the Panda family with the new Panda launch, which is performing well. And we had a combined sales of 49,000 units in the quarter between New Panda and Panda Classic, maintaining leading position in the A segment in the market. We will be launching the 500L with production starting in July at our Serbia factory to complement the Fiat 500 position in the marketplace. And Jeep is clearly an important brand for us also in the EMEA region, where we’ve seen Q1 sales up 58% in the market. And we will continue to have strong growth, also looking at Russia and South Africa within the EMEA region. Moving on to page 35, the guidance for the year as I mentioned before -- as Mr. Marchionne mentioned before we are confirming guidance as given in the last call with revenues in excess of €77 billion, trading profit from €3.8 billion to €4.5 billion, net profit from €1.2 to €1.5 and net industrial debt between €5.5 billion and €6 billion. Thank you. And I’ll hand the call over to Mr. Marchionne.
Sergio Marchionne: Yeah. I just want to make a couple of comments on the guidance that we’ve given for 2012. It is clear from the performance that we recorded for Q1 of 2012 especially in EMEA that market conditions are in a state of flux. It’s not just a volume issue. There is a lot of pricing activity that’s going into the marketplace, which is not the most rationale nature that I have ever seen. So the competition is intensifying but I think it’s not been done on a basis of realistic economic expectations. And so I think our decision to effectively refrain from a large capital investment program in EMEA, the decision that we made back in 2009 was a wise decision. I think the execution in a very paced manner of the capital investment program in Europe with the introduction of -- with the Panda and the commitment in the Mirafiori plant to produce both Fiats and Jeeps and limiting our investment to that cycle including the investment that we’re making in our Grugliasco plant for the introduction of the Maserati brand from fundamentally a niche player to a more sizable, more complete premium luxury maker. With the exception of those investments, everything else has been put in the backburner. We continue to watch the developments of the market very, very carefully. I think that we will know more certainly at the end of the third quarter as to what shape the market will take. We’re relatively confident that a forecast that we put in place and that Richard made reference too for the Italian market of having the lowest levels of (inaudible) in fact will be materialized. So there is a lot of uncertainty in the European market. I think we need to be careful in maintaining our resources and safeguarding the organization until we get better clarity on the development of the market and certainly in terms of some of the initiatives that have been put in place by ourselves and some of our competitors in terms of the rationalization of the manufacturing infrastructure. Notwithstanding all this, when we gave you guidance at the beginning of this year, we were careful in providing a range of outcomes which included even a pessimistic view of them which unfortunately is materializing and that pessimism is being offset to a large extent by the over performance of the NAFTA market. I think totality we feel comfortable that the number of €3.8 billion to €4.5 billion in operating profit is effectively doable and achievable. We’ll, come back to you. I think as the next six months unfold with a better view. But the Group has got sufficient liquidity and financially strong to try and deal with a continuation of the European downturn and we continue to devote resource of the development of the other geographic areas which I don’t really have. I’ve shown both in terms of current trading performance and forecast and better environment and a better trading environment for Fiat and its totality. So not a great quarter for EMEA, good quarter overall for Fiat Chrysler. And I think we will continue to execute well in every other trading region. While we continue to see the development and manage very, very carefully our position in EMEA. So that closes the official comments. If you want to call LATAM, I’ll turn it over to Marco.
Marco Auriemma: Thank you, Sergio. Sarah, now we are ready to start the Q&A session. Please go ahead.
Operator: Certainly. Thank you, sir. (Operator Instructions) We’ll now move to our first question from Massimo Vecchio from Mediobanca. Please go ahead.
Massimo Vecchio – Mediobanca: Yeah. Good afternoon. My first question is on CapEx. If you can give us full-year indication, if I am not wrong last time, you were looking at €7.5 billion, looking at Q1 spending and then the current market condition this is probably too wide. So if you can elaborate on that? And the second question is on the profit of $681 million in North America. Is there an element related to the Fiat brand or is it entirely Chrysler. In other words, is there an element of the loss of Fiat probably in the Mexican operation on the Fiat 500.
Sergio Marchionne: No. I’ll give you an answer on the Fiat. Now that the Fiat is contributing to the results.
Massimo Vecchio – Mediobanca: It is contributing or it’s not?
Sergio Marchionne: It’s not great shape.
Massimo Vecchio – Mediobanca: Okay.
Sergio Marchionne: The volumes are no large but it’s not negative.
Massimo Vecchio – Mediobanca: Okay. All right. Thanks.
Richard Palmer: And as regards your CapEx question our guidance was €7.5 billion for the year at this time. Historically, there was a seasonality to the CapEx coming through. First quarter tends to be low. In reality, a lot of our spending relates to the NAFTA region, the product renewal process in Chrysler so in NAFTA and also for other market such as APAC. And we will obviously be spending money on the Fiat side on the European side, but limited to the 500L and not a lot of other programs, because as you said the market is what it is but the €7.5 billion guidance stands.
Massimo Vecchio – Mediobanca: Okay. All right. Thank you very much.
Operator: Thank you. And I’ll move to our next question from Martino De Ambroggi from Equita. Please go ahead.
Martino De Ambroggi – Equita: Hello, can you hear me? Hello?
Sergio Marchionne: Yeah.
Martino De Ambroggi – Equita: Okay. Sorry. Thank you and good afternoon everybody. I have a question on Latin America. You mentioned in your slide number 16 that trading profit in Q1 is consistent with your full-year target. May be I missed it but I was wondering what’s your target for LATAM in terms of trading profit? And always related to the decline in retail non-sales in Latin America, can we say that Q1 is the bottom in terms of profitability because in the next few quarters there would be lower pressure from imports and this will change a bit of the environment? The second part of the question is on -- is a strategic question. I presume you would like to handle the issue of Chrysler minorities in one short? That’s my starting assumption. But do you see any room to a range by dealing such a way, I mean, in just one shot sooner or later I don’t know. I am not asking you which is the technicality or the right receipt but just if you see there is room for a one shot solution?
Sergio Marchionne: So regarding LATAM, our target for the year is to make more than €1 billion in the Latin America region for the year. And as we got the IPI tax et cetera, our read of the market is that the market should improve through the year as that IPI increase in tax which was 30% compared to the prior rate and which is introduced on the 15th of December last year but announced in September of last year. So gave those manufacturers who were importing units a chance to stock out heavily pre-in position of that 30% increase. That stock should be sold down substantially by now. We expect the -- say in the second half of the next quarter to see an improvement in pricing conditions. In terms of credit availability, there has been some reduction in interest rates. And we haven’t yet seen that come through in to marketplace, but we expect that to happen as well to stimulate demand and keep a low level of growth through the rest of the year in Brazil.
Martino De Ambroggi – Equita: Okay. So am I right in estimating roughly 10% return on sales for the full year?
Sergio Marchionne: Yeah. Something like that. Yeah.
Martino De Ambroggi – Equita: Okay. Thank you.
Operator: Thank you. We now move to our next question which comes from Jochen Gehrke from Deutsche Bank. Please go ahead.
Jochen Gehrke – Deutsche Bank: Yes. Good afternoon. Two questions, if I may. First of all Mr. Marchionne, could you remind us what obstacles you’re facing to tap Chrysler cash flow and whether you feel that the non-Chrysler entity is currently on track to build -- need to build organically that funding or capacity to finally make them that step or whether you feel that some of the disposal arguments that you -- that you actually came up within the past might be a necessity in here? And then secondly to the New Panda, we’ve seen in some markets that when you started the product at least for the entry version, you started quite aggressively below MSRP right from the beginning. Could you just tell us whether you’re happy not just in the Italian markets, but also in markets which are flat from a total volume standpoint such as Germany. Are you happy with the performance in that space and do you feel with a competitor action heating up that this -- that this space of the market which used to be yours, is getting structurally more challenging? Thank you.
Sergio Marchionne: Let’s start with your second question, first. I don’t think that our -- our positioning of the Panda and the dominant position that Fiat had in the A segment in the major European markets is under threat. I think that it’s clear that the general creating conditions in Europe with the exception of the premium brands is having -- the current trading conditions are putting pressure on pricing across the range. And I think if I told you that I was happy with the pricing that A segment cars are getting in the marketplace today regardless of whether it’s a Panda or otherwise I would be lying. I think that I may reference this into, I guess, in my opening and in my sort of closing remarks as part of the formal presentation. But the fact that, we have seen some pretty aggressive pricing actions from competitors, my suspicion is that especially for cars that have been recently launched which would have embedded a level of content which is well in excess of what they may have had in the past. The question is to whether some people have crossed the variable cost curve is on the table. And I think we have made a rule, which I think we are faithfully respected here for a long period of time certainly since I have been here. That we would not engage and what I consider to be idiotic pricing strategies. We have seen the impact of uncontrolled, unreasoned pricing behavior in chase of volumes before. We certainly have seen in the United States here in 2007, ‘08 and part of 2009. And we’ve seen those kind of practices seed the disruption on the car business in the U.S. So it’s -- we have zero intention of participating in that device. It is a lot better for us to stand on the sidelines or watch this go on because ultimately somebody is going to have to take the piper here and it’s not going to -- if not going to resolve itself. I mean unfortunately people that believe that by doing this they’re requiring customer loyalty in the mass market business maybe wrong. Certainly, it’s my view that you are not acquiring much. So the short answer to you question is that I’m not happy with kind of pricing as I’m not happy with pricing in general in Europe across the mass market range. I think it’s an unfortunate circumstance. I think it’s the consequence of unwillingness to deal with capacity issues and effectively create an industrial framework in Europe. We just keep a little adjusting demand to supplying times like this. And so having said all this I -- I have been incredibly low on this issue in terms of advocating European Union intervention to try and get some order in the (inaudible) and effectively a least organized, a rational equitable distribution of capacity reduction across the European arena. I can tell you right now that then my pitch is not had a great amount of success. It still remains to be very much of the regional approach to this. And there are some countries in -- some companies in some countries that do not favor European Union integration for a variety of other reasons. But we’ll continue to work on this. I think, certainly the Club Med producers are the ones that are much more exposed because their involvement in the A and B and C segments and to the -- and to read the absence of viable competition for the German producers at the premium end. It’s a difficult situation that requires that we manage our Fiat’s position very, very carefully and then we do not make -- that we don’t make investment decisions in the European area which we’re going to end up regretting because of the fact that volumes were non-materialized. But more importantly that we will not obtain pricing required to. We cover other variable cost in the extreme or at least provide an adequate return on capital invested. So we’re -- we need to stay tuned on this. The only guarantee that I can tell you is that we’re – we were not doing anything stupid. So, we’re certainly going to minimize any losses associated with the management on restraining conditions. But the next two quarters, I think they’re crucial in terms of seeing the color of the year probably to get a better indication as to how 2013 will perform. The first question that you asked about the divestitures, as you saw from the slide we have a large amount of liquidity. You’re absolutely correct in saying that because of the firewall that we’ve carried out in the financial resources, the Chrysler has the ability to transfer cash across is severely limited. And so we would be -- that doesn’t mean much in the sense that at the end of the day we’re interested in building value in an asset which we have nearly today 60% interest. And so we need to do that. It’s being done on internally generated resources of Chrysler so by definition on this all the stuff that we’re doing and the success of Chrysler is incredibly value accretive to the whole of Fiat. And certainly an instrumental piece of the ultimate coordination of its organization as we go forward. As for as your question you asked about our willingness or ability to dispose of assets in connection with the strengthening of the relationship with Chrysler that option remains always an option. And I think as you all know I have some very clear views about the fact that there are assets within the Group, if monetize we’ll provide more than half resources to try and strength our direct involvement in Chrysler. Having said this, we have no immediate plans today to try in action. Those divestitures because we don’t deem them necessary at this stage of the game plus the amount of liquidity available to the Group in its totality is certainly extraordinarily large. And it’s probably mismatched given the requirements. The cash requirements that the Group has, we have intentionally played incredibly safe. And we have excess capital markets all relevant times to ensure that we had enough liquidity to set aside rollover requirements. We are going to continue to do that as we navigate through the next two or three quarters. I don’t see an immediate need to deal with this. And I think that it’s an issue that will be dealt within time. I mean, we have a call option which is according to us is middle of 2012. And it’s a call that is on the mechanics of the evaluation of the callers is potentially value accretive to Siena. I think we need to -- we need to take it very hard look at that call. I think there was a better than 50% chance to Fiat well, in fact, exercise that call when the time comes. And we have a series of calls that are accreting over time until 2016 as I understand. And so undoubtedly those are good, good repository value of accretion over a period of time to Fiat. It doesn’t resolve the ultimate issue about the 100% ownership or the 100% integration of the two businesses but it gets us through in a very reasonable way the next period of time which I think we’ll provide clarity vis-à-vis resolution of the European issue. Europe requires a better clarity before I think we expose ourselves to anything else.
Jochen Gehrke – Deutsche Bank: All right. Just on that capacity reduction issue which I think many people understand and agree with what you say, but can you just give us any sort of feeling on where you think we stand there timeline-wise we obviously facing in many countries, crucial political elections. And secondly on that same issue, why is it that you’re calling for a European-wide intervention and you think that regional issues not really doable?
Sergio Marchionne: Well -- the regional solution in non-coordinate way is not doable for exactly the same reasons where you just -- that you just pointed out. There are political -- political elections going on across most European countries in the next 12 to 24 months. The likelihood of anybody embracing this in a very open way in the midst of an intense political activity is very small. And so unless you find, unless you determine an equitable allocation of the reduction across the European Union and the national effort to fail, and we’re very far away from getting resolution on this issue. So we started the process we need to continue to work at it.
Jochen Gehrke – Deutsche Bank: All right. Thank you.
Operator: Thank you. And I’ll move to our next question from Alberto Villa from Intermonte. Please go ahead.
Alberto Villa – Intermonte: Hi, good afternoon to everybody. I have a couple of questions. First of all on the new reporting we appreciate but it will be at useful if possible to have it also pro forma for the further quarters of this year in order to drove that in 2011 in order to workout our estimates in a better way? The second one is back on LATAM, as I understand you are targeting €1 billion or more of operating profit contribution. Is that fair to assume it would be flat or slightly down compared to last year? And on LATAM again, have you got any plan to launch the Dart car into the market in the next future? And the last question is on net debt target of €5.5 billion to €6 billion. We are now in the -- at the middle of the range at the end of the first quarter with a cash generation from Chrysler, which was already exceeding the full year target. Is that fair to assume that the target at Chrysler would be largely exceeded to be within the range or that you are expecting European and LATAM operations to perform much better going forward in order to get into this range at the end of the year?
Sergio Marchionne: I’ll let Richard answer the last question. The first one is that the answer is yes, you are right, it’s about the same range or slightly down and the second issue we have no immediate plans to launch the Dart in Latin America now simply because of size it’s not ideally suited for that market and the third question Richard will tell you that we’re going to try and contain.
Richard Palmer: So further reductions in the European market side, we would expect to improve the cash flow for the European operations and the Brazilian operations in the rest of the year, given obviously we’ve had a significant working capital impact in the first quarter, partly because of volumes, partly because of the strike regarding the road haulage companies in Italy, which we expect -- we should expect to recover some of that and partly because of the CapEx timing from the large Q4 CapEx number, which is a normal seasonal effect for us. On the Chrysler side, we have clearly had a very strong first quarter and there are some payments through the rest of the year, which didn’t hit the first quarter, just because of the timing of those payments and interest payments for the VEBA, interest payments for the notes and also CapEx, which we expect to increase through the year. So, well our guidance would appear to be rather prudent. I think it is prudent. But for the moment it is what it is.
Alberto Villa – Intermonte: Okay. Thank you.
Operator: Thank you. We’ll move to our next question from Stuart Pearson from Morgan Stanley. Please go ahead.
Stuart Pearson – Morgan Stanley: Good afternoon. Just two or three questions. I remember you quite hopefully provide a chart showing your production and registrations and just giving us some feel for the inventory moves in the quarter. And I guess the change in the structure of the reporting maybe is that you made that a less easy to provide. So I wonder if you could just give us some indication of where the inventory moved during Q1, where that was and how you expect that to go in the second quarter. Just a tiny of bit housekeeping, I wonder if you could tell us what the Fiat Powertrain kind of process as it was in the old format I wanted as well is just a reference. And then finally, more general question I guess on the PSA and GM alliance, I wondered if you could just share your thoughts on how that may or may not change the European environment tool for Fiat going forward, whether that’s an alliance that might have made sense in your view to Fiat to be a part of and how important is you to find another third party, so to join the Fiat-Chrysler alliance going forward? Thank you.
Sergio Marchionne: I’ll deal with the third question and then I’ll get Richard try and answer questions on these inventories and on the other softer aspect. Look -- and I’m not criticizing at all I think what the dealers did sign by GM and Peugeot because I’m not -- I wasn’t there, I can only read what I think has been sort of disclosed as part of the broad agreement between the two organizations. Two things I know for in fact, is that this was done internationally with a capital call but Peugeot Citroen. And secondly, that the alliance is designed at delivering synergies in the medium to long term. Given that -- I think that the alliance satisfied both objectives. I have a lot of understanding for attempting to find solutions that will ultimately provide architectural convergence, and a reduction of the capital cost associated with the development programs for both organizations. By definition, those are good things to achieve. I’m jaundiced in giving you an answer because of our own experience through that we have had in the past towards similar arrangements. I will be lying to you if I told you that thing was a marriage made in heaven and the fact that somebody paid us to go away. I mean actually received the award settlement in 2005 took back up our bags and go home. So our own experience has not been great. I would sincerely hope it’s not a replication of what we live through and that there are better opportunities that will unfold for the two of them. As far as the implications of that alliance on us, I see very little -- very little implications of that arrangement on Fiat’s operations in Europe. And I -- the second part of the answer is that it is not another secret that we have had conversations with both Opel and Peugeot Citroen in the path of finding ways in which we could align our interest certainly in the case of Opel on the Europe basis and in the case of Peugeot on a wider basis, which has not materializes. So in that sense, we failed in our attempt, so they could provide a convincing argument to support further discussions and so in that sense I’m disappointed, but it’s not beyond the world and life goes on. Given what’s going on in Europe today in the absence of the joint determination to deal with the capacity issue, whether it would be done through the alliance or whether it would be done through a European coordination. In the absence of that commitment any other tie-up is going to by definition is not going to yield much of a potential benefit to other one of the participants because of the fact the underlying problem in the European market is one of matching demand and supply and the resulted impact on pricing. So I don’t regret not hasn’t being told, if the only thing that was going to be accomplished was sort of unification of architectural platforms and potentially Powertrains going forward. There would have to be a much deeper commitment I think on the part of both organizations to take a look at their respective capacity and bringing back some order. As far as the other question that you’ve asked is to whether I think the Chrysler Fiat needs another partner, when you look at -- we have shown numbers not for the first time across the geographies and you see very clearly that our position in APAC although, satisfactory from economic standpoint it marginal. And so any opportunity that will give us an opportunity to strengthen, any potential alliance will give us an opportunity to strengthen our Asian involvement will be beneficial, I’ll leave at this and these things take time. I don’t have an answer for you I don’t have discussions going on with anybody or particular other than general discussion of our collaborations. If we but we continue to work with this issue. I think it’s important I keep on reiterating the fact that this is an industry that ultimately requires mass because of the huge commitment of capital that is required to try and develop these things. And so that objective in our mind is not gone away. It remains a constant consistent item on the agenda that we have strategically every day. And so we’ll continue to work at it, but I don’t have any immediate answer for you other than to confirm our interest in exploring other opportunities to try and find ways to improve this business. Richard?
Richard Palmer: In terms of stocks NAFTA inventories were up it is seasonal. As we talked about in the call, the Chrysler call stocks are up about around 40,000 units, 50, 50 between Canada and the U.S. Canada because it’s very seasonal market Q2 by far the biggest sales market we need to stocking that to drive sales growth in Q2. U.S similarly Q2 is a big sales market and our days sales based on Q1 sales were actually down from 64 days to 59 days at month end. So you can see that when stock was up it’s absolutely inline with our sales were mostly slightly low in terms of days. Latin America, stock was basically flat compared to Q4. APAC also and EMEA was basically out of total level, but because of the road haulage strike in March actually we had a less talk in the network and a higher level of stock all are in books, because of the slowdown in transportation at the end of the quarter. So that should help us out a little bit in the second quarter.
Stuart Pearson – Morgan Stanley: Okay. So if I’m going to just well quickly, so if you think about the total inventory in Q2 in EMEA. I guess would you expect that number to come down as you stated if it was flat versus Q4 and the setting rates coming down presumably that still needs to come down. But your group level as you see that will be slightly cushioned by the fact that’s you’ll ship more of the inventory after the data, is that correct?
Richard Palmer: Yes. Basically.
Stuart Pearson – Morgan Stanley: Yeah. Thank you. And Fiat Powertrain?
Marco Auriemma: Powertrain contract study that number very closely anymore because we’re looking at the business on slide different way. But I would say that’s the number that seemed but after they were last day, but we’re not tracking profitably for Fiat Powertrain such as supplier to the car business and as such as we’re are looking at the cost in the efficiencies on the costs side of this stage.
Stuart Pearson – Morgan Stanley: Okay. Thank you.
Operator: (Operator Instructions) Thank you. Now let’s turn to next question from Peter Testa from One Investments. Please go ahead.
Peter Testa – One Investments: Hi and thanks very much. Just a follow-on from the previous question on the to €1.1 billion increasing in working capital ex Chrysler, in a sense you’re saying with a vast majority of that there is a swing in payables in a very low number of relatively and swing of inventory? And the second question is, when you are talking about on transitioning the European business to a better state if, can you give some sort of sense as to how you’ve evolved the process to make those decisions internally and may be give some feel the range of options considering beyond alliances? Thank you.
Sergio Marchionne: I mean just I’m going to give you an answer to the first question, but it is payables on the working capital side for the most part. When I made the comment on the opening slide but the fact that this is a business in transition on the European side is that this mismatch of the demand and supply is not a permanent state. I mean, you don’t have to go to get a PhD in Economics to understand and when you’ve got this structural mismatch something is going to give. And so, the important thing from our standpoint is to make sure that we are fully equipped to withstand whatever period of time is required to get this adjust when in place. We’re ready to play whatever role we need to play and bringing about a resolution of the mismatch. And, but the problem that we have is that it cannot -- this is a -- there is a first move of disadvantage in all this, which has to do with the fact that if you’re the guy that rationalizes in the absence of agreement from others, your action will actually benefit all others. And somebody is playing chicken with the train here because everybody standing there and watching for the other guy to move first and effectively he benefits on the act. And I don’t see a great willingness on part of anybody to offer on behalf of the aggregate of production capacity in Europe, the first token towards the rationalization of demand and supply. And so the problem that I’m running into which is a reason why keep on advocating European Union intervention is that to the extent that you’ve got political overturns that are going to color that process, one because of the national interest in the car industry into various European countries. And two if you combine that with this problem of having a first mover disadvantage, because of the fact that you’re going to benefit all others. The only way you’re going to resolve that debt lock is by coming up with the coordinated equitable distribution of rationalization. It is my sincere hope that may continuing to bark on this issue and to put -- push the batter that we will get somebody to listen and to effectively action a plan in a social responsible way that deals with this matter. And the combined to make to add insult of injury would having this conversation at a time, where most European countries have embraced fiscal authority regimes, which have been caused by something other than the car business. So you have now compressive factors all of which are loading up the guns for bear, because the austerity program is by definition going to even worsen the demand function and tightening up volumes. And the other hand you’ve got the desire to try and keep capacity untouched. As I was sitting here there was -- there was a communication made by one of the -- one of our least favored trade unions in Italy that made reference for the fact that one of our plants has got a capacity over 0.5 million cars and then we only produce 50,000 in the first quarter. To begin with the 0.5 million number is absolute nonsense, but its typical then. But secondly, the argument about making more cars out of a site in a market that doesn’t have any buying power is absolute ridiculous and until somebody snaps into the group then recognizes the economic imbalances that exist in the market today, we’re not going to resolve the issue. If there any value at all in the European Union existing as a functioning body to climb coordinated activities across the European Union and this is the time to show its capabilities, because of the fact that these are things that impact across a variety of countries and it needs to be coordinated in a way which ultimately satisfies – the equitable distribution of the burden that continues to be my primary objective and I think it will be unfair to expect a single country to wear the burden of all this. So, we need to continue to work with the systems to try and navigate the policy and my sincere hope is that we find a way to get this done in the absence of which -- there is a potential -- the system the one of the participants will fail one or more, I know that its not fair. And so...
Peter Testa – One Investments: You’re describing a process which is unlikely to be a two quarter process of resolution since priority is in Europe or for what they are. You feel you’re going to be in a better position post say Q3 to be able to comment on how you can transition that and that’s what I was wondering what other range or steps are considered because one outside of alliance is because the other one is not in your control and is clearly a long campaign not a short campaign?
Sergio Marchionne: It is a long campaign. But I think that there is also a willingness of some of the other participants to take action in the near-term. And I think we need to allow them to be able to action those plans. We’ve already done, I think a lot by shutting down our Southern Italian plant to a shutdown as of December 2011. To be perfectly honest other than the shutdown the Antwerp facility by Opel nobody else has taken out or announced their capacity out of the system. So I think somebody need to standup to the bar and get it done.
Peter Testa – One Investments: Yeah. Okay. Thanks very much for the answer.
Operator: Thank you. And we move to our next question from Vishal Singhal from Nomura. Please go ahead.
Vishal Singhal – Nomura: Hi, thanks for taking my question. My question on basically again a follow-up on the -- your strategy for EMEA segment. As we know, like you have deferred couple of model launches and the additional investment in EU has been altered by you or reduced by you. The point is given what you just said in terms of the macro picture over there. How do you act for next say one or two years in terms of one the model launches that has been deferred? So whether you would continue to lose market share and you would have further model launches, which can take care of your market share over there, as well as some other strategy which can help you to probably improve your performance in the EMEA segment? And the another question is in terms of your strategy in two regions which is Russia and India, how do you see those two markets developing and what are your strategies going forward for those markets? Thanks.
Sergio Marchionne: I have Mr. Palmer address your Russia question. There is no such thing as market share loss system, market share retention is unprofitable. And I think that we all need to be disciplined about this. I mean the question that we maybe losing market share and a mass market, where as a result of the economic conditions even brand up here becomes questionable. That we need to be absolutely honest with ourselves about what it means to try and preserve market share in that environment. And so, given that the breadth of Fiat-Chrysler today and the fact that we continue our investment program and updated. And United States and Latin America in view of much more stable market conditions. It’s not that if anybody is starving the Fiat-Chrysler world of capital. We are just allocating in a different place. And the allocations that have been made are preserving the integrity of our platform development and can be transferred back to the European market at any time to try and deal with a more reasonable more rationally car market, which will allow us to make a return on the investment would that will be made. Don’t assume because of the fact that we are not investing in the European context that the house is not investing. We are and we continue to develop architecture. I am not industrializing the projects in the region. That’s a complete different story. And it’s a very short few between the decision to invest and the decision to produce which is probably less than 24 month. Once we see clarity going forward. I don’t have that clarity and we’ll refuse to engage in value destroying strategies that will ultimately actually under mind of our ability of Fiat. I just won’t. So I have zero patience for people who talk to me about market share. I have seen this market share fight. I have seen them in the United States and I have seen people fall off the cliffs trying to hang on to notional market share objectives, which ultimately never deliver advantage. So, let’s be disciplined and let’s be rational and we’ll move it on from here. Richard?
Richard Palmer: As far as Russia as we mentioned on the summary upfront, we have a letter of intent signed with as a bare bank, a Russian bank to create a manufacturing presence in Russia and we are working on formalizing that agreement, which would involve loans from the bare bank due in part to cover the investment cost of the venture. We expect to move forward with that in the near future. In terms of India, we have a JV in India, as you are aware with Tata is performing well. Although, we are looking at the overall strategy to be more incisive in the India marketplace given that we now avoid a product range with Fiat-Chrysler, which we can bring to bear in their marketplace.
Vishal Singhal – Nomura: Just one follow-up on this, since there is no detail on the presentations. Can you tell us like what is your product line up for EMEA for say next, most specifically in Europe for next say one, one and a half years?
Richard Palmer: We said we are going to update our integrated plan in Q3. So, I think Vishal we will have to come back to you on that one, when we do those answers regarding the full plan.
Vishal Singhal – Nomura: Okay. Thank you.
Richard Palmer: Thank you.
Operator: Thank you. As we have no further questions. I would now like to turn the call back over to you sir for any additional or closing remarks. Thank you.
Sergio Marchionne: Thank you, Sarah. We would like to thank everyone for joining the call today. We’ll be communicating shortly. Bye.
Operator: Thank you. That will conclude today’s conference call. Thank you for participation ladies and gentlemen. You may now disconnect.